Lee Yuan Siong: Good morning from Hong Kong. And a warm welcome to AIA’s Annual Results Presentation for 2023. Today, AIA has announced a return to very strong profitable new business growth, with VONB up 33% to over $4 billion and ANP at a record high. New business growth is the key driver of the 37% increase in EV operating profit per share and a 350 basis point uplift in operating return on EV to 12.9%. Operating profit after tax was up 7% per share on an underlying basis. We grew our CSM, the stock of future OPAT by 8.4% on an underlying basis, and operating return on equity was up by 50 basis points to 13.5%.  Strong capital generation saw a free surplus increased by 25%, before capital returns of $2.3 billion in dividends and $3.6 billion through the buyback. None of these returns to shareholders, our capital position remains very strong, with free surplus up $16.3 billion. Total dividend per share is up 5% and we have returned $7.2 billion through our ongoing share buyback program. These results again demonstrate the power of AIA's business model that enables us to capture the growth opportunities across Asia and deliver cash returns to shareholders.  Let me explain how we have achieved these strong results before Garth provides more detail on the financials. We have four key growth engines, which together generate 95% of the group's VONB and each of them reported double digit growth in 2023. ASEAN, our largest engine delivered over $1.5 billion, which is more than one-third of the group's total. Excluding Vietnam, where industry wide issues have been impacted new business sales, ASEAN was up 14%, driven by increased productivity from both agency and partnerships, alongside our focus on protection and unit link sales.  When Hong Kong fully reopened in February, we were ready to capture the returning demand from Mainland Chinese visitors for high quality comprehensive suite of products through our multi-channel distribution. Sales to the domestic customer segment also increase, resulting in an overall growth of 82% for AIA Hong Kong.  This excellent performance confirms, AIA as the overall market leader as well as number one in agency and the retail IA channels. And our leading agency is an attractive career choice with new recruits up by 59%. AIA China grew by 28% from February to December, following the removal of pandemic restrictions. Our high quality premier agency generated over 90% of China's VONB with margins exceeding 60% in the second half, and agent productivity more than double that of our peers.  Our joint venture in India, Tata AIA Life, ranked as the third largest private life insurer in 2023 and continue his track record across all channels with VONB up 37%. AIA's excellent new business performance was broad-base across our high quality growth engines, which are powered by an unrivaled distribution platform. Premier agency is at the heart of AIA's distribution and a key competitive advantage, generating over 75% of new business in 2023.  VONB grew by 23%, driven by an increase in active agent numbers and higher productivity. Full adoption of digital tools across the entire premier agency value chain has delivered a material improvement in productivity, recruitment and retention. This ensures that we are able to provide highly attractive opportunities for career agents with incomes up 17% and accelerating momentum in recruitment up 26% in the second half of the year.  We have the world's most professional agency that has been number one MDRT globally for the last nine years. We are also individually the number one in Mainland China, Hong Kong, ASEAN and India. And we have grown MDRT qualifiers by a further 20% in 2023. Proving the success of our high quality model.  Strategic Partnerships expand our distribution rich by bringing complimentary access to large customer pools across our markets. Overall performance in 2023 was excellent, with VONB growing by 58%. Bancassurance was up 42%. Powered by ASEAN, where we’ve flow standing relationships with leading banks, including Bangkok Bank in Thailand, Citibank in Singapore and Public Bank in Malaysia.  We reported equally impressive results from AIA's other growth engines. Our IFA and broker channel more than double VONB in 2023. We regain the number one market position in Hong Kong, achieved excellent growth in Singapore and held the largest share of wallet across our partners in India. Combined with professional advice from our unrivaled distribution, our compelling propositions are difficult to replicate.  Powered by our technology, digital and analytics capabilities, AIA's integrated product ecosystems offer greater relevance in meeting each of our customers evolving needs. We motivate and reward customers for taking actions that positively improve their physical and financial health, help them seek the best treatment and encourage them to save more effectively to meet their evolving needs.  In 2023, we broaden our customer propositions with targeted solutions, including dedicated loyalty programs in Hong Kong and Singapore, tax deductible private pensions in Mainland China, and comprehensive health and wellness solutions in ASEAN and India. AIA vitality is at the core of our ecosystem, helping our customers improve their wellbeing while delivering greater engagement and shared value generation.  Our holistic approach has resulted in us acquiring more than 1.5 million new customers in 2023, up 10% on last year. AIA's customers are increasingly loyal, with very strong growth in repeat sales, and very high persistency. Our performance in 2023 could not have been delivered without the significant investments we have made in technology, digital and analytics.  When I joined AIA in 2020, I said that a step change in how we use TDA was at the heart of our new strategy. And we set out ambitious transformation goals to enhance every aspect of our business. Since then, we have invested around $800 million in TDA, to secure our future success. We have met or exceeded most of our transformation targets, achieving our goal of being a simpler, faster, more connected organization, and a world leader in the use of TDA.  Today, 90% of our technology infrastructure is hosted in the cloud. And our end-to-end STP rate has more than doubled to 85% of all buy service and claims journeys. Cost per transaction has reduced by 32% and we have already achieved recurring expense and claims efficiencies of more than $150 million per year. Our strategy is not just aimed at transforming back office capabilities, but enables a leading customer experience. With 85% of all customer transactions completed within a single day, and highly rated digital apps, AIA ranks first by NPS in seven of our markets.  100% Digital enablement has delivered significant improvements in productivity across our unrivaled distribution platform. With our TDA transformation complete, we have the essential foundation to deploy generative AI across our business at scale. Today, we have shared on our website a separate TDA presentation. This takes you through our journey so far, and our future plans to expand distribution reach and productivity continuously enhance customer experience and grow shareholder value.  In summary, today's strong results executed across multiple growth engines and combined with our unmatched financial flexibility underscores my confidence that AIA is exceptionally well placed for profitable growth.  Now over to Garth.
Garth Jones : Thanks, Siong. And good morning everyone. I will now take you through the financial results in more detail across growth, earnings, and capital and dividends. An excellent VONB performance for the group was driven by significant increases in each of our five largest markets and double digit growth in 10 of our markets. Amongst these Yuan Siong is already covered our very strong results in Hong Kong and Mainland China.  Breaking out our key ASEAN businesses, AIA Thailand delivered another impressive performance, up 21%, reflecting very strong growth from both our market leading agency and partnership channels. AIA Singapore grew by 10%, with growth from our core agency and an excellent performance in our partnership channel.  While AIA Malaysia delivered another good year building on its excellent growth in 2022, with VONB exceeding $300 million. Excluding Vietnam, VONB from other markets increased by 15%, with the majority of the growth coming from India. AIA's unique portfolio of businesses, diverse products and high quality distribution enable us to deploy capital in high quality, profitable new business that drives long term shareholder value creation.  You've heard me say many times before that we focus on growing total VONB rather than volume on margin alone, given the strong IRRs we achieve above 20% and short payback periods. While reporting margins may vary, if the return on capital of businesses is attractive, we will look to write it and in this way we optimize total value creation for shareholders. Our priority is growing the total dollar value of VONB and in 2023 VONB increased by $1 billion. Hong Kong and Mainland China saw a very strong demand for profitable long term savings products, which drove VONB growth and a modestly lower VONB margin for the group over the year.  In the second half, a more favorable product mix gave rise to an increase in the group's VONB margin to 54.5%. Overall, our product mix remains well balanced between traditional protection and long term savings products. The equivalent new business PVNBP margin was strong and stable at 10%. Reflecting the quality and long term nature of our business. Each of our reportable segments saw a sequential increase in margin in the second half. For the mixture of an increased margin in Hong Kong and Mainland China. And AIA China's premier agency continued to generate industry leading productivity product mix and profitability with a margin over 60%.  Across the rest of the group, a more favorable product mix cause VONB margins to increase in ASEAN. Our ability to meet the full range of customer needs across protection, high quality long term savings and retirement products is a key differentiator for AIA and a major factor in our confidence in the group's ability to deliver future VONB growth. We actively assess channel product and financial dynamics and seek to improve these further while deploying capital in a disciplined way to create optimal value for shareholders over the long term. This approach has not changed since IPO.  EV operating profit was up 33% to $8.9 billion, driven by VONB growth and an increase in the expected return reflecting higher interest rates and risk discount rates. As a result, operating return on EV stepped up to 12.9%, an increase of 350 basis points. Our focus on delivering sustainable VONB growth is a key driver of higher embedded value and increasing operating ROEV.  Within EV operating profit operating variances once again were a small positive. In line with global trends, we've seen an increase in medical claims post the pandemic. The overall prudence within our equity assumptions has absorb this negative experience, which we expect to be temporary as we reprice our annually renewable health products.  To provide in context, our consistently favorable operating variances have added $3.9 billion to EV Equity since IPO. Non-operating movements mainly related to changes in the value of Chinese and Thai equities, as well as interest rate movements over the year. Net of these, EV Equity increased to $76.1 billion before shareholder returns an increase of 7%. After returning $5.9 billion to shareholders through dividends and the ongoing share buyback program, EV Equity was $70.2 billion at the end of 2023. Our EV methodology uses spot market yields and trends overtime to our long term assumptions, which aims to smooth out short term market volatility.  At year end, we updated our long term investment return assumptions with a reduction in Mainland China and increases across the rest of the group. Whilst in aggregate these changes have a positive effect on future distributable cash flows, reflecting higher interest rates, they were offset by corresponding changes in risk discount rates. As a reminder, we have a substantial allowance for risk in our discount rates, with a risk premium of close to 5% for the group, consistent with the levels used since IPO. The net impact of changes to our economic assumptions with less than 1% of EV Equity. Our EV remains highly resilient to short term market volatility for both interest rate and equity market movements.  Now moving to IFRS earnings. CSM growth is a key driver of future OPAT. In 2023, CSM grew by 17% to $58.4 billion before released into profit. The key growth drivers were the $7 billion from new business added in the year and $2.6 billion from the expected return on enforced business. Variances and others of negative $1 billion mainly related to capital market movements.  The CSM release rate remained stable at 9.5% as $5.3 billion was released into OPAT, up 6% on last year. Net of release, underlying growth in CSM was strong at 8.4%. Growing the new business CSM faster than the CSM release rate will drive higher CSM releases and accelerate OPAT growth. OPAT per share grew by 7% on an underlying basis, and our operating margin remains strong at 16.4%  While CSM release was higher, we have seen increased medical claims since the end of the pandemic in line with global trends. You can see that OPAT was affected by $221 million of medical claims variances compared with last year. Our health insurance portfolio is comprised of annual renewable policies, and in response, we are increasing premium rates as policies renew.  Adjusting for these temporary variances and minor IFRS model refinements, OPAT increased by 7% per share. AIA's sources of earnings are high quality, with 70% from insurance services. Regular premiums make up 99% of our total way to premium income, providing very strong future cash flows and ample liquidity on our large enforce book.  Taken together with our geographically diverse portfolio of businesses bounced across the growth engines of Hong Kong, Mainland China and ASEAN. This underpins the resilience of the group's earnings and balance sheet. Our discipline strategy of focusing on value and quality has helped deliver consistent growth in OPAT per share, with a CAGR of 10% since IPO.  Shareholders allocated equity provides a clearer reflection of the underlying drivers of the change in equity. By excluding the mark to market movements on assets and liabilities relating to non-participating business, which are contained within other comprehensive income. As a reminder under IFRS 17, virtually all mark to market movements from participating business flow to insurance contract liabilities and the CSM.  Before returns to shareholders allocated equity increased to $50.7 billion, driven by a net profit of $3.8 billion. The combination of strong OPAT of $6.2 billion and the ongoing share buyback helped drive operating ROE up by 50 basis points to 13.5%. Comparing IFRS new business CSM and comprehensive equity to VONB and EV Equity clearly demonstrates the prudence of AIA's embedded value reporting. We believe that EV and VONB are more representative of shareholder value, as they are based on distributable cash flows after tax, not accounting earnings. Importantly, all expenses as well as regulatory and group capital requirements and all taxes are fully captured within our EV and VONB. With significant allowance for risk premiums in our risk discount rates. Our EV Equity does not reflect an additional $0. 9 billion if we mark to market our medium term notes. In addition, our investment in China post life is included in EV Equity at IFRS net asset value, which is around $1.5 billion lower then China post life's own embedded value.  Finally, capital and dividends. The LCSM coverage ratio is the group's principal regulatory solvency measure, taking a fully consolidated view of local business requirements and is calculated on a prescribed capital requirement basis. While the LCS M is consistent with the capital requirements used to assess regulatory solvency, free surplus continues to be more representative of the capital position for shareholders. The LCSM coverage ratio increased 14 percentage points before shareholder returns, supported by strong capital generation from our enforce business. After returns to shareholders, a solvency position remained very strong, with a coverage ratio of 275% at the end of 2023.  For comparability, we've shown a shareholder view excluding participating business. On this basis, the coverage ratio was higher, with 335%. The sensitivity of our LCSM coverage ratio to mark to market movements on equities and interest rates is small, reflecting the strength of our balance sheet and our robust risk management. Our high quality investment portfolio is constructed to match our insurance liabilities as closely as possible. As a result, 80% of non-par and surplus assets are fixed income, with the vast majority either government and government agency bonds or investment grade corporate bonds. Within this the $30 billion corporate bond portfolio is well diversified across sectors and geographies with more than 1700 issuers. The average credit rating of our corporate bond portfolio is at A minus and our expected credit loss provision at the end of the year was 0. 5% of the portfolio.  In Mainland China, the group's total exposure to real estate bonds and equities and local government financing vehicles is small. And almost all of AIA China's fixed income assets are government and government agency bonds.  In summary, we have strong asset liability management and a high quality diversified investment portfolio. The group's financial position remained very strong, with free surplus increasing by 25% to $22.3 billion, before returns to shareholders. The increase was driven by underlying free surplus generation of $6 billion and reinvestment of $1.3 billion in new business at attractive long term returns. After $5.9 billion returned to shareholders, free surplus close the year at a very strong $16.3 billion.  The Board has recommended an increase of 5% in the final dividend bringing the total dividend for the year to 161.36 Hong Kong cents per share up 5%. The Board continues to follow AIA's established prudent sustainable and progressive dividend policy allowing for future growth opportunities and the financial flexibility of the group. In addition to regular dividends, our ongoing $10 billion buyback program returned 3.6 billion to shareholders over the year. A total of $24.8 billion has now been returned to shareholders since IPO. AIA follows a clearly defined and robust capital management framework. That is the foundation for superior shareholder value generation.  Over the last two years through our disciplined approach, we've deployed $14.8 billion into business growth and significant capital returns to shareholders. We invested $2.6 billion in organic new business at highly attractive returns, generating $9.7 billion of additional shareholder value, which will come through as free surplus generation over time. Our prudent sustainable and progressive dividend policy has returned $4.6 billion to shareholders. We deployed $0.4 billion into acquisitions.  By the end of 2023, the buyback had returned $7.2 billion in excess capital to shareholders, enhancing per share financial metrics and supporting higher ROE. The program is ongoing with $2.8 billion remaining. Our free surplus position while remaining very strong, has reduced to $16.3 billion, mainly driven by the return of excess capital through the share buyback. We believe that our strong balance sheet financial flexibility, highly attractive new business growth and strong cash returns to shareholders set us apart from our competitors.  In conclusion, the group has delivered a strong financial performance in 2023 across growth, earnings and capital and dividends. VONB grew by 33% to over $4 billion. This drove EV operating profit up 33% and operating ROEV increased to 12.9%. On an underlying basis, OPAT per share grew by 7% and CSM increased by 8.4%. Free surplus increased 25% before shareholder returns. Total dividend per share was up 5% and we’ve returned a total of $5.9 billion to shareholders in 2023. Our $10 billion buyback program is ongoing, enhancing shareholder returns and we remain disciplined in our future capital deployment. AIA's robust balance sheet is a key competitive advantage, ensuring we retain our unmatched financial flexibility to invest in the enormous potential for profitable new business growth in the region, fully harnessing the exceptional qualities of AIA.  I’ll now hand back to Yuan Siong. 
Lee Yuan Siong : Thanks, Garth. Let me now remind you why AIA is exceptionally well placed to deliver profitable growth well into the future. First of all, we are 100% focused on Asia, which is the most attractive market for life and health insurance in the world. Asian consumers continue to amass high levels of private savings at a rate faster than anywhere else globally. Populations are growing yet aging and with significantly low levels of insurance penetration and limited welfare coverage, there is an urgent need for the personalized products and high quality advice that only AI provides. The potential for our business is immense and our strategy is aligned to these long term structural trends.  I will now take you through how we are capturing the opportunity across our multiple growth engines, starting with Mainland China. The core of AIA China is our full time professional premier agency that is the clear market leader in Mainland China. AIA's agents are even more productive than their pre pandemic peak and outpace the industry with VONB per agent more than double that of peers.  Our success is driven by young, dynamic and entrepreneurial agency leaders who ensure sustainable growth by attracting, developing and retaining the best agents. Universal adoption of our advanced digital platforms drives higher productivity and efficiency while ensuring our strict quality standards are maintained. 93% of AIA's new agents are college graduates or above, and we saw accelerating recruitment momentum in the second half, with new recruits up 16%.  In contrast to many competitors, our agency is growing and becoming more productive, resulting in VONB growth above 20% from February to December. Our premiere agents are equipped with the skills, tools and products to successfully target the sophisticated needs of Mainland China's growing middle class consumers. Where demand for AIA's insurance propositions remains robust. More than 80% of ANP comes from this segment. And each customer holds on average six AI policies, helping them achieve their protection and long term savings goals.  We saw excellent growth in new customers in the second half of the year, providing us with significant additional opportunities as our agents grow these relationships over time. Our overall product mix is high quality, well balanced and profitable. VONB margin increase substantially in the second half to 63.4%, following a favorable shift in product mix and repricing. In 2023, over 95% of our agents sold protection products, which accounted for more than 80% of all policies from new customers. The majority of our long term savings products that were bought by existing customers who already own AIA protection policies.  It is AIA's differentiated premier agency, meeting the evolving demands of China's middle class consumers that sets us apart in this market. And we have significant headroom to grow as we build on our track record of sustained value creation across both our established and new operations. With the pandemic behind us, we have ambitious plans to accelerate growth from our new operations. As you will recall, by deepening our presence in existing geographies and entering new provinces, we significantly enlarge our addressable market.  In 2023, we opened a new provincial branch in Zhengzhou, Henan, and our Shijiazhuang Sales and Service Center in Hebei, was also upgraded to provincial status, allowing us to expand more rapidly. AIA China has also been granted regulatory approvals to enter new major cities in Hubei, and Sichuan provinces. Since 2019, our footprint has doubled to 10 geographies, adding more than 100 million potential new customers to AIA China. And our expansion model is working well. In 2023, agency VONB from our new branches grew by 55% and exceeded 5% of AIA China's agency VONB in the second half.  Notably, VONB margin is at a similar level to our establish operations as we replicate our proven strategy of targeting the middle class with highly relevant long term savings and protection propositions. Recruitment for our newest branches, is also very strong and accelerating, with more than 77% growth compared to the previous year. As we continue to execute our plans, the vast majority of Mainland China's growing middle class population will be within our reach. I have no doubt in our ability to expand that scale, whilst maintaining strict quality standards and our leading customer experience. We are also able to extend AIA China's customer reach through highly selective partnerships with banks that have aligned long-term ambitions and create value for both partners.  While our partners are some of the largest players in the market, we are focused on meeting the holistic protection and long term savings needs of only their most affluent customers. Through our exclusive partnership with BEA and our strategic relationships with Bank of China and Shanghai Pudong Development Bank, our average case size exceeds $20,000 U.S. dollars, higher than our average MCV case size in Hong Kong.  Bancassurance is a small part of AIA China's total VONB and we have seen steadily improving new business profitability that is complementary to our core strategy. AIA China is singularly positioned for growth in this dynamic market. We have the unique combination of profitable products addressing the needs of a targeted growing and affluent customer segment and a world class distribution with significant headroom for growth as we advanced our geographical expansion plans.  Next, moving to Hong Kong. AIA Hong Kong was the largest individual contributor to the group's VONB with 82% growth. Our premier agency is the leader across Hong Kong and Macau and agency VONB was up 57%. We are growing capacity and quality with 59% growth in new recruits and more than 40% growth in MDRT qualifiers. Our bank partnerships provide exclusive access to over 2 million customers while leading IFA proposition has seen us return to number one in this channel. AIA Hong Kong's products and services have broad appeal to both domestic as well as MCV customers. We have the number one Net Promoter Score. The launch of the AIA Wealth Management Center in March, provides an ecosystem of integrated health and wealth management services. And we are accelerating our health capabilities through more active medical network management, leveraging amplify health, powerful data and analytics. As a result of our success, I'm very proud that we were the overall market leader by new business in 2023.  Now taking a closer look at the strong return of MCV business in 2023. I'm confident that the demand is sustainable. More than 70% of VONB comes from customers new to AIA and around 60% of policies were bought by customers who reside outside the Greater Bay area. Our agency generated two thirds of MCV business. And we saw growth in both VONB and the number of new policies in the second half. Following an initial search of larger policies after the border reopen, average case size has stabilized in the second half. As you know, we successfully retained the scale of our MCV focus agency through the pandemic. And we have progressively stepped up recruitment supporting very strong momentum in this growing customer segment.  Now turning to our largest growth engine, AIA's ASEAN markets. We are the leading life and health insurer across the region. The combination of our powerful proprietary distribution channels and high quality product mix allows us to deliver superior growth and profitability. VONB in 2023 was 20% above pre pandemic peak levels.  We are the largest and most professional agency in the region, and our long term strategic partnerships with leading banks are key asset for the group. Our propositions are focused on long term protection and unit link products, which in turn drove strong VONB margin of around 70% in 2023, making this a highly profitable growth engine for the group. Our position and performances across ASEAN are solid and consistent.  Let me take you through the three reportable segments, starting with our largest business, Thailand. We are the undisputed leader and have an excellent track record of consistent execution with VONB 60% higher than pre pandemic peak levels. With a 41% market share, our agency is the largest and most professional in Thailand by far. We continue to uplift quality and standards every year, and our highly productive financial advisor program increase headcount by 28% in 2023.  In bancassurance, productivity was up 31%. And we are working closely with Bangkok bank to unlock the significant headroom for growth from its large retail customer base. As a growing market, there is immense potential for AIA in Thailand. Our focus on traditional protection and unit link products ensures our market dominance and differentiates the quality of our growth. In Singapore, we have outperformed the market through our focus on protection regular premium business. Our agency is the most professional, most productive and largest tide distribution force in the market. A quarter of our agents are MDRT. And we rank the clear number one in Singapore.  We are continuing to scale the agency with expansion of both our agency leaders and onboarding new recruits. In the partnership channel, we have strong momentum through Citibank selected high net worth brokers, and we lead the market in employee benefits business. We offer differentiated health and wellness solutions, leveraging AIA's leading regional funds platform and our market leadership in health insurance. We see strong potential for growth from AIA's Singapore, as we can tap into growing domestic demand, as well as Singapore's position as a regional hub.  AIA Malaysia has grown significantly over the last four years, and 2023 was another strong year, with VONB exceeding $300 million. Targeted investments in technology, digital and analytics have enabled us to simultaneously increase manpower and productivity across our leading premier agency, an exclusive partnership with public bank.  Our strong focus on protection, both traditional and unit link delivers a high quality profitable product mix. We are the market leader in health insurance and AIA vitality has been a key differentiator with a very strong pickup by both agents and our customers. I am very proud of our success in Malaysia. And I'm confident that we can extend our track record for many years to come.  Finally, India, where our joint venture, Tata AIA Life provides us with an exceptional platform to capture the tremendous opportunity for life and health insurance. By 2030, the middle class population will reach 1 billion and protection coverage remains very low. Tata AIA Life continue is strong track record, with VONB up by more than 30% in 2023. Driven by an excellent performance in Premier agency, and strong growth in our partnership channel. In eight years, we have advanced from number 17 in the market, to the number three private life insurer in 2023. We are the market leader in retail protection, and we have a balance multi-channel distribution platform.  Our differentiated agencies strategy has made us the number one MDRT life insurer and our focus on growing and enhancing our agency has delivered consistent growth and outperformance against the industry. Our key priority is to build the most professional distribution force at scale that is on par with AIA’s leading premier agencies. Our protection focused strategy, quality distribution, and proven execution ensure that Tata AIA Life is well on its way to capturing India's massive potential.  To summarize, we have multiple growth engines to leverage the enormous opportunities for life and health insurance across Asia. We target a resilient middle class and affluent customer base, through our market leading proprietary distribution, and superior strategic execution, combined with AIA’s unmatched financial flexibility, we are in a unique position, I'm certain, that we can capture the full economics of growth in the region.  In closing, 2023 was a strong year for the group. VONB was up 33%, to more than $4 billion and we achieved growth in all key metrics. We also returned $5.9 billion to shareholders through dividends and the ongoing share by that program. It is AIA’s capacity to deliver growth, earnings and cash that sets us apart from our competitors. I have every confidence that AIA will extend his strong track record of creating value for all our shareholders well into the future. Thank you.
Lance Burbidge : Good morning from AIA Central in Hong Kong. We will now move to the Q&A session, which is by Zoom webinar. If you want to ask a question [technical difficulty]. Together with me today are Lee Yuan Siong, our Group CEO and President; and Garth Jones, our Group CFO. We also have our Regional Chief Executives and other members of the Group Executive Committee with us in the room.  Before we start our Q&A, let me remind you that we've also shared on our website, a separate TDA video presentation this morning. And I hope you have a chance to watch it later if you haven't already watched it. With that operator, over to you for questions.
Operator: [Operator Instructions] Let's proceed and our first question comes from Charles Zhou of UBS Securities. Charles, please press the unmute button on your screen and ask your question.
Charles Zhou : Okay, thanks. Thanks for giving me this opportunity to ask the question. So I have a three question. First, as you know, there are lots of concern about the China macro slowdown, but I think we're glad to see AIA delivered 20% value of new business growth last year. And also my understanding is that for Hong Kong MCV business we see first, -- sorry, Q4 versus Q3 still see sequential improvement for the MCV value from new business.  My question is, so can you maybe share with us about the outlook for this year for 2024? Or maybe just give us more colors or maybe even some numbers about what about the momentum provider of new business in Mainland China year-to-date, and also for the Hong Kong business, particularly for the MCV year-to-date? My second question, we know that in China, we see a prolonged interest rate down cycle, and also increasingly complex investment environment.  So how does AIA cope with such challenges from the asset and liability perspective? And can you maybe discuss about this separately? And third, you know, we know AIA has purchased I think shares almost up to $8 billion U.S. dollar or 80% of your $10 billion buyback program. And we estimate the current buyback program will be completed in November based on the current purchasing pace.  So in the future, we understand that IRR for new business is over 20%. But what will the company do to improve the capital efficiency and also enhance the shareholders return? Maybe talk about a for maybe any future buyback or dividend increase? Thanks. 
Lee Yuan Siong: Thank you, Charles. First, I think we talked about Hong Kong, our Hong Kong business grew very strongly. VONB was up by 82% in 2023. Growth came from both MCV and domestic Hong Kong market, I am confident that the demand from MCV business is sustainable and in fact, we see we saw very strong VONB growth momentum in the first two months of the year. And I'm also confident that there is a significant need for long term protection and savings from both domestic and MCV customer segments. Jacky, you like to supplement?
Jacky Chan: Yes. Thank you, Yuan Siong. Yes, I'm also very happy to talk about Hong Kong, Hong Kong really demonstrate very strong underlying growth drivers. So for our core agency channel, you can see that the underlying driver in terms of recruitment grow strongly by a 59%. And in fact, the quarterly recruitment in the second half of the year already exceed the pre pandemic level.  And we also see that on the MCV side, which you also talked about, the MCV active agent in the second half grew by 23%, compared to the first half. And our overall, both domestic plus MCV together are all for productivity of our agent by ANP per active agent. Actually strongly beyond the pre pandemic level already. So we have a very, very strong agency force. And we already talked about the MDRT qualifiers, intervention fee is already grown by more than 40%. So this sets a very strong fundamental in the agency business in Hong Kong going forward.  And at the same time, you also see that AIA Hong Kong achieved number one in the IFA broker channel for the whole industry in Hong Kong. And the IFA brokers come to partner with Hong Kong because we have a strong brand, we have a strong product proposition, and we have strong servicing to help them service those more affluent customer segments. So, as a result. I want to let you know that as you asked about the year-to-date, the year-to-date momentum in the first two months is very, very strong.
Lee Yuan Siong: On China, very strong growth from since the pandemic reopening from February to December last year, we grew by 28%. And we saw the momentum continue into the first two months of this year with strong double digit growth. We have a very resilient model and very differentiated model in Mainland China, that's able to grow through economic cycles. We are in a very unique position in that we can expand into new provinces our geographical footprint over the last five years’ double.  We are in 10 geographies now and we continue to plan for future new provincial branches are one to two a year. So I think we are in a very, very unique position and we are very confident of the growth prospects. In China we are servicing mainly -- we are servicing our target customer segment the middle class and affluent customers who are more resilient and through different economic cycles we have a very professional premiere agency channel that is -- and we were able to maintain our agency force, in fact we've seen growth in our agency force as compared to the market, the productivity of our premier agency force is more than two times stead of the industry average. Now, Jacky?
Jacky Chan: Thank you, Yuan Siong. Let me describe a little bit more about how differentiated A channel in China, Both, the agency channel and the partnership channel are really differentiated, as to our core distribution channel in China, which is our premier agency aligned the market situation, we are able to grow the overall agency manpower, driven by strong recruitment momentum, as you have seen in our second half new agent grow year by year by 16%. And our active agent also grow in the last year, and also driven by a strong, very, very strong increase in the agency productivity.  In fact, I also want to share with you that our experienced agent productivity in the second half of last year, already grown beyond the pre pandemic level, and our new agent income in last year actually grow strongly also beyond the pre pandemic level. This shows how strong the underlying drivers of our premier agencies are. And in fact, our agency force target the middle class and above customer segment. And in last year 2023, the middle class and above customer segment contribute more than 80% of the ANP.  And in our almost 30 years’ experience in Mainland China, we note that this kind of a middle class and above customer segment in AIA over time, they purchased over on average six policy from AIA China. So that's that demonstrate how strong our differential agency in China are and they are able to capture the growing opportunity in Mainland China. As to the bancassurance, we also employ a very differentiated strategy.  We selectively partner with those bank partners who are really willing to work with us. Targeting their effort and above customer segment, has user already talked about our exclusive partnership with BEA and our strategic partnerships with Bank of China and Shanghai Pudong Development Bank on selected at point of sales, which targeting the affluent and above customer segment, we saw the average ticket size is above U.S. dollar $20,000.  And we are not doing this like a transactional business like the rest. We are nurturing helping the bank to nurture and engage the customer over time, so that we can give them a comprehensive suite of both protection and long term saving product. So as a result, these two channels really differentiate and coupled up with we have tremendous opportunity to expand in Mainland China. We are now across our geography from five provincial license to 10. And there are more to come and we are also growing strongly in our new footprint in Mainland China. So we are very, very positive, the AIA China is well positioned to capture the enormous opportunity in Mainland China.
Lee Yuan Siong: I hand over to Garth, to talk about the low interest environment in China and about capital.
Garth Jones : Yes. Thanks, Yuan Siong and Jacky. As you know, Charles we adopt a basis of matching assets and liabilities as closely as we can and that starts with the liabilities. So as you know, we focus on selling protection and long term savings products, which have long term surrender penalties, low underlying guaranteed rates and as economic situations move, we will then reprice and adjust our pricing in our bases as we go along.  On the asset side, as you say it is complex in China, but we look to try and make it as simple as possible. We've shown before that the vast majority of our assets are in fixed income, more than 90% of that is in long government bonds. And if you look at the duration of those bonds, more than half are above 30 years. So again, that goes to the basis of matching assets and liabilities as closely as possible. And that then you see come through in our earnings and you know over 90% of the earnings are insurance service based. So that's China.  On capital. As we tried to show in Slide 31. We are disciplined stewards of the shareholders capital. We've deployed close to $15 billion over the last two years. We've maintained a strong balance sheet, our LCSM solvency have tune in 75%. And we have an ability to stand -- withstand market stress. That strength also gives us financial flexibility, it gives us financial flexibility to continue to invest in new business. As you know our ROE is above 20% and the payback is short.  We've invested $2.6 billion in new business trend, and that's generated $9.7 billion of new business value. We have a prudent progressive sustainable dividend policy. $4.6 billion returned in the last two years as well as the buyback. And as you correctly know, we're in year three of a three-year buyback program a $10 billion share buyback program. So, we will look at ways in which we continue to manage the balance sheet be this disciplined stewards of the shareholder capital. We have a number of levers to do that, but the best lever that we have is to grow our business, grow the business organically. We look to increase AER, we also to optimize that.
Lance Burbidge : Okay, thanks. Next question, please.
Operator: The next question comes from MW Kim from JP Morgan. MW, please press the unmute button on your screen and ask your question.
MW Kim : Thank you for the opportunity. I have three questions. So the first one is about the India. For Tata, AIA 37% value of a new business growth looks impressive, and company achieved the top three position among private life insurers in terms of the new life sales volume. I guess that now the scale looks sizable even compared to the AIA Singapore, Malaysia and Thailand. So, I want to know when we would see the separate VONB or the EV disclosure of the India operation. And also the management view on any challenges or the issue relate to the ownership increase on Tata AIA it's appreciated.  The second one is about the claim. Just want to ask that whether the claim experience our role would remain the more favorable after the repricing or the premium hike. Just wondering because it sounds like the overall their claim pressure looks actually the happening across the Asia, so to get more insight on that one. And the last one is, the company has designated as an International Active Insurance Group by IAIS recently on top of GWS designation by IA. So under this designation is there anything the mind pool in terms of the future use of excess capital? Thank you.
Lee Yuan Siong: Thank you, MW. We are very happy with our performance in India, India is an exciting market for EIA, and we had an outstanding partner in Tata Sons, I think the best partner you can ever find in India. As you mentioned, we are very proud of the fact that we were able to climb from number 17 to number three, largest private life insurer in India over the last eight years. So, in terms of the when we will disclose more information about Tata AIA, I handover to Garth?
Garth Jones : Yes. Thanks MK, MW, as you know, I also have sort of management responsibility for India. So I have a vested interest in this. I want the business to grow to a size where it's big enough to break out. I think, a couple of things to remember. Number one is that we have 49% and it's a joint venture. So we're only putting 49% through, we're not putting 100% through and then taking the minority interest out below the line.  It continues to grow. And as it continues to grow, we'll look to, we put more information in the pack. We'll look to give you more disclosures. And I know that there's a lot of disclosures locally as well. It was the largest contributor to the growth in other markets. And but clearly it's a relatively new company as Yuan Siong said, it's grown from 17 to three in the last eight years. So the enforce book isn't quite as representative as the new business.
Lee Yuan Siong: In terms of claims, as you know, we are the largest Pan Asian health insurance insurer. And we see in line with global trends, we seen an increase in the medical claims post pandemic. See, three reasons, one is people who have put off non-urgent medical screening and treatments during the pandemic coming back. Secondly, an increase in preventative checkups, following higher awareness, post COVID. And three, spike in seasonal illnesses from causes like respiratory viruses that were suppressed during the pandemic. We expect these impacts on profitability to be temporary. And we are taking a number of actions to support sustainable medical costs management solutions. Maybe, Kevin, you want to talk about it?
Kevin Loh: Thanks so much. This is Dr. Kevin Loh, Group Chief Healthcare Officer. Maybe give a little bit more color to what Yuan Siong said. So post pandemic years indeed, the healthcare demand has returned to its expected trajectory after being suppressed in 2020 to 2022. And as Yuan Siong say, there is some additional temporary increases in demand. But medical inflation has always been there, we have always been able to deal with it. Our medical portfolio is essentially yearly renewable bases. And though there were repricing constraints during the pandemic years, we are now ready to put through the repricing to catch up.  Now in addition, we have launched our integrated health strategy, where we will steer customers into more seamless cost effective health care networks. We will reduce unnecessary costs and claims while maintaining excellent clinical outcomes. And all this will help us ensure health products remain attractive going forward and make our business sustainable. So we are continuing to ride the growth and health care.
Lee Yuan Siong: Yes, Garth. 
Garth Jones : On the AAIG point. As you know AIG was subjected to group wide supervision by the Hong Kong AIA, and they have a group supervisory framework that is in place robust framework. A key element of that is the LCSM solvency ratio, or the solvency coverage that you see on Slide 27. And the 275% is clearly demonstrably strong. I think the key thing to note is that the sensitivities on the right, you can see that the sensitivities are relatively small.  The other thing I would note with the GWS framework is that it includes a second pillar, which is an economic capital assessment that we provide to the IA. And clearly, the LCSM coverage ratio is as it is, we haven't had to adjust anything for that. The third thing to note, I think is that the free surplus still remains the basis that we would ask people to look at that we think is more representative of shareholders, resources and so on. Whereas the LCSM coverage ratio is clearly designed around the strength of the balance sheet from a policyholder protection perspective.
Operator: Next question comes from Kailash Mistry of HSBC. Kailash, please press the unmute button on your screen and answer your question.
Kailesh Mistry : Good morning, everyone. Thank you for taking my questions. I've got three questions. First one is on China EV assumptions. Just wanted to understand why you've decided to lower the risk premium now, particularly as some would argue that this is in inconsistent with the general uncertainty and lack of confidence in the market overall?  The second question is on Slide 38. Thank you very much for the additional detail. Effectively just wanted to understand on the left hand side of that slide. How long does it take for customers to you know get to six policies per customer? And secondly, on that slide, how many customers do you have in in Mainland China just to try and scale that? And the last question is a little bit more clarity just around medical claims, et cetera, is the main message here that the 400 million charge on CSM and EV is essentially the assumption change that you’ve? And then the operating variances through the OPAT is essentially the adverse experience this year. And since the entire portfolio re prices from 2024 you know that we should get a clean set of numbers on the medical side. Thank you. 
Lee Yuan Siong: Okay. Thank you I think we take the second question first about China. I think I am very happy to see very strong 21% growth in new customer saw in China. And as you can see, we are very much focused on the middle class and affluent customer segment and who will have a long term relationship with the company and throughout the different life stages, they will be buying more and more products from AIA.  And as I mentioned earlier, our model whereby we are servicing these more resilient and more affluent customers who are more resilient through different economic cycles in terms of their spending on insurance and on savings, I think insurance that we are able to grow through different economic cycles. As I mentioned, just now, we've seen a very strong return to growth in 2023. And this is carried forward into 2024 in the first two months of this year.  Now, in terms of the six policies per customer, I think I hand over to Jacky. 
Jacky Chan: Thank you, Yuan Siong. In fact, you will see that we grow new customer strong double digit value last year, and the total individual customer AIA China is actually approaching 4 million, and it is still growing quite strongly. And in terms of the six policy per customer, as I said, it is our enforce data. So, AIA has been returned to our home in Mainland China in 1992. So, by now, it's about 32 years, and you know, the trajectory of those our business starting small and then we grow strongly expensively, we grow very strongly after the IPO of AIA Group in 2010.  So, this six policy can for middle class and above customer is an enforced as of now. So, you may imagine that is roughly I would say, or roughly 10 years now, because of the scale of more customer in the later part of this 32 years, compared to the first half of the 32 years. So this gives you a sense that it is really, really a lucrative customer segment that we are able to target on because they will keep buying policy.  And you can see that we also picked up in this on this lag over time, they bought two CI and 2.5 medical and accidental 1.5 long term save and you know that long term savings just started to become more attractive, the customer, especially the middle class, and above customer now become more attracted to long term saving plans. So you can see there are really a lot of potential to continue to grow beyond just six policy per customer for middle class and above. 
Lee Yuan Siong: And, so just add. This is a -- as we show this for China, this is not unique to AI China, you know, is our very differentiated highly professional premier agency model whereby our agents will service their customers for very long periods of time, throughout the different life stages. And in Hong Kong in other markets. We also see, and we are also encouraged by the fact that in 2023, we add on more than 1.5 million customers in our major markets. And now the question is on China EVs functions and the questions about the medical claims, I think I hand over to Garth. 
Garth Jones : Yes, thanks Yuan Siong. I think with the assumptions, firstly, to say the first thing to remember always is that we manage the business for the long term, and our AV methodology and our assumptions reflect that. That was assumption based on a wide range of reference points, we have a strong process around that, that goes through our audit process. That includes looking at spot rates, forward rates, and we get a fundamental view from a third party and so on.  Looking at that and looking over the longer term, we look at both the risk free interest rates and the risk discount rates in order to measure the risk premium as you know. In China specifically, we reduce the risk free rates and we reduce the risk discount rates. The key thing to note is number one is on as we show on chart 19 that we've been prudent in our assumptions with the long term rates compared with market rates moving together, but slowly over time, and generally being conservative and prudent.  And then secondly, that there's still a substantial amount of risk premium in our risk discount rates. So in China, for example, that is now 5.7%, which is above our average, and our averages stayed about the same since its IPO. In terms of the medical claims, there's a $500 million provision for expected claims in both our IFRS and EV assumptions for the CSM, as you say, we reflect current experience through the higher premium rates and the repricing that we're going through the medical experience that we showed of $221 million actually flows through in a couple of areas, it flows through operating variances, and also in what's called risk adjustments release another. That's where the corporate solutions businesses, for example. And we've given an indication of the impact of that.  I think that $221 million has to be also viewed in the context of a premium volume from that business of around $5 billion. So a relatively small percentage. We're obviously taking proactive management actions will reprice our products, but also, as Kevin has said, well, we are looking at what we are doing with our integrated health strategy to support sustainable medical cost management and thereby also reduce premium increases for our policyholders.
Operator: Next question comes from Thomas Wang of Goldman Sachs. Thomas, please press the unmute button on your screen and ask your question.
Thomas Wang : Thank you. Thanks for the opportunity. Couple question, early if I stay on page 38. Thanks for providing that VONB product mix. Can you just help us or give a little bit color in terms of what that would look like I say last year and how management think this mix will change in 2024 and going forward. And secondly, on capital, if I sort of flipped the dividend question to a leverage question what -- as you think about shareholder return? And also the LCS, what's the target leverage ratio? Or that management have in the medium to long term? Thank you.
Lee Yuan Siong: Okay. Jacky? 
Jacky Chan: Yeah, thank you for the question. In fact, I think on the Slide 38. This shows that we continue to maintain a strong sales and momentum in the protection policy. It makes up roughly 40% of the VONB. And the key thing you will have to see that you said we want to let you know that our agents really continue to sell potential policy because more than 95% of our agency last year, they did sell a protection product. And in fact, in terms of new business by a number of policies, more than 80% of them protection, and among the protection will be more than 70% CI products.  I continue to uphold, how A China is so passionate in quickly units and protection product, because in last year, we continue to roll out new CI coverage with cancer cell coverage. And in fact, earlier this year, we also launched a new medical and accident potential product with a longer period of premium payments before we knew for. So this attracts a lot of attention and event I want to continue to let you know that going into the first two months in this year, we come to see very, very strong growth and momentum in our protection sales.  That said, as we already mentioned a lot, right now in the current market situation and the Mainland customers especially middle class and above customers are peppers, they really consider positively that long term saving plan from life insurance office is a good wealth management product for them. And therefore, we continue to see that there is strong demand in our long term saving product and at the same time, the government continue to promote personal pension preparation. So our flagship Personal Pension Benefit Plan continue to attract attention from the middle class and above customers in Mainland China. 
Lee Yuan Siong: I just want to add that, we have always been very clear that we focus on growth in the total VONB rather than just focusing on sales volume or margin alone. And we continue to be very financially disciplined. And we will write new business if returns on capital, attractive for us short payback periods in order to drive growth, earnings and cash. So I just want to supplement than.
Garth Jones : Yes, thanks, Yuan Siong, and thanks Thomas. Yes, as I said earlier, we're always looking at ways in which we can optimize the E using various tools. We have a strong balance sheet that provides us with financial flexibility not only for, to withstand stress, but to take advantage of all the growth opportunities that are available to us. We clearly have a strong balance sheet, our ratings reflect that. And we have a modest leverage ratio. That gives us financial flexibility and we'll continue to look at how we optimize our capital structure going forward. We'll continue to look at how we optimize E.
Operator: Next question comes from Richard Xu, of Morgan Stanley. Richard, please press the unmute button on your screen and ask your question.
Lee Yuan Siong: Can you hear us?
Richard Xu: Yes. Can you hear me? Okay. 
Lee Yuan Siong: Yes, now, okay.
Richard Xu: Okay, thanks for the opportunity. Two question for me. One is, first of all, on the Hong Kong MCV business, it's been strong, certainly compared to the market, but overall market is some slowing down from, also what we see in China, right, in the income growth and macro environments quite divergent recoveries, I mean, there's different levels of recovery in different regions. So, from what you see 70% outside is what doing right now, and what's really driving the market share gains. And looking ahead, where do you see the MCV overall market is growing the growth rate? And then which region, what type of middle class, I guess, insurance buyers are coming to Hong Kong and supporting the growth? And secondly is for overall region and we see the other region has been somewhat weak. I mean, I see, management mentioned, Vietnam is key driver, and other any other driver for the other bucket. And when do we think the overall other regions going to see some rebound in terms of the VONB growth? Thank you. 
Lee Yuan Siong: Okay. On Hong Kong MCV business, as I said just now, I believe that the demand from Hong Kong MCV business is sustainable. I think MCV Mainland Chinese customers, they come to buy our products. One, I think there's a lower risk appetite now for risky wealth management products and property investments in China. They want to access, higher quality better health care services. There's a need for currency and asset diversification. So, I think this demand remains very strong. We see that in the fourth quarter of last year there's a continued uptick in MCV business quarter-on-quarter, and we are seeing the momentum carrying forward into 2024 with strong MCV demand in the first two months of the year. Jacky? 
Jacky Chan: Yes, very happy to talk about MCV, because MCV has been a part of the Hong Kong insurance business for nearly two decades. And the demand or continue to remain very strong because of many other fundamentals as Yuan Siong just mentioned. And in the case of AIA, AIA’s differentiated channel across agency bancassurance and IFA, we are really well positioned to capture these MCV opportunities.  So as you mentioned about the so called slowdown of the MCV in the market, you may observe these trends in the overall Hong Kong user market as released by the Hong Kong IA, for the whole year 2023. But in the case of Hong Kong, AIA Hong Kong, we saw growth in both ANP and VONB from MCV, going from Q3 to Q4.  And we also already mentioned about, our agents are very well prepared for the MCV and the ramp of MCV we focus that we could increase in the second half of last year, which already surpassed the quarterly average of 2019. And also, the MCV active agent has a strong double digit growth of 23% in the second half. And in fact, when you look at the MCV visitors to Hong Kong has over the last year, the overall visitor number is just roughly 50% of 2018, which was the peak of the Mainland Chinese visitor before 2019, which was a little bit impact by social event.  So you see, there is still you know, a very big room of the tourists coming from Mainland to Hong Kong. And you also saw that just recently, the Hong Kong government and the Chinese government announced that they open up two more additional cities in Mainland China to allow solo travel to come to Hong Kong, they are from Xi An and also Qingdao, and this is the first time in the last 16 years, opening up two more big cities to allow solo traveler to come across the border to visit Hong Kong. So I would say all this, really see that the strong momentum should be there. And in the case of Air Hong Kong in the first two months of this year, Yuan Siong already mentioned, we continues to see a very, very strong growth and demand on our product and services from the MCV customers.
Lee Yuan Siong: Now, Hong Kong and China, two very important strong growth engines for AIA, but we also have ASEAN and India. And in fact, ASEAN is our largest contributor to group VONB last year of 35%. And, in fact, ASEAN contributed to more than $1.5 billion of VONB. And this is actually 20% above pre pandemic levels. Right. So these are very important growth engine for AIA. We have obviously within ASEAN as we mentioned, Vietnam is going through some market wide issues which has impacted the whole market but outside of Vietnam, we're seeing they're seeing good performance from businesses from ASEAN as a whole.  India again, just now we mentioned, very strong performance 37% growth in 2023. Within ASEAN itself, we have Thailand, which is our largest business in ASEAN and we are clear market leader in Thailand for Life and Health Insurance. In fact, Thailand is standout because in 2023 VONB from Thailand is more than 60% above pre pandemic levels, with market share 41% in agency and agency is a very strong contributor, the main contributor of VONB for Thailand business. And obviously, of course, we also have Bangkok Bank and Bangkok Bank, we saw 31% increase in productivity in 2023. Within ASEAN, we also have Singapore where we outperform the market and deliver double digit new business growth in 2023. So.
Operator: Next question is from Edwin Liu of CLSA. Edwin, please press the unmute button on your screen and ask your question.
Edwin Liu : Hi, good morning. Thanks for the opportunity to ask question. Just one quick question for me. And just to follow up on your insurance comments on Thailand. We noted that the strong performance in Thailand with record high margin, so just to want to get more color on the Thailand performance. What's the major reason to drive the margin higher, and do you believe that the margin has reached a peak or maybe normalized in the later years?  Or is this sort of a normalized level right now? And also regarding the IFA program, it seems after previous year's efforts, finally started to deliver results. And in terms of the growth for the FA numbers, should we expect the double digit growth can continue for the medium term, say, three to five years down the road? That's my question. Thanks.
Lee Yuan Siong: Thank you for asking a question on Thailand, because we are all really happy to talk about Thailand. The clear market leader number one in MDRT, as I mentioned, 41% agency market share, and very happy that the European following us and following developments with regard to the IFA program. VONB from FEs [ph] is more than double the level in 2019. And we continue to be able to see very strong growth in FE headcount and contribution from FEs to the overall VONB of the company. I hand over to HakLeh to talk about Thailand a little more.
HakLeh Tan: Thank you, Yuan Siong. Thanks Edwin for the question. As Yuan Siong mentioned, AIA Thailand deliver excellent results in 2023, VONB was up 21% and 60% higher than the pre pandemic level. Just on our agency, we are the clear market leader with 41% market share. The success of our agency was driven by our quality recruitment program, particularly the financial advisor program, as well as our ability to continuously enhance the productivity of our agency force.  As you are correctly pointed out, the FA program has been around for a while, in fact, it's been around for more than seven years. I think over that period, we can see the program has grown from strength to strength, as of last year the FA contribute to close to 40% of the total production of agency and with an average productivity of 2.3 times of the non-IFA. So the program that will continue to drive our agency growth. And it's also worth noting that most of the new agency managers that we have over the last few years, are individuals who graduated from the FA programs, and most of them, many of them on to become agency leaders, and continue to help us to grow and promote the IFA programs by recruiting a lot more quality individuals into the program.  Just in terms of our overall product proposition, we offer a very comprehensive range of product proposition covering life CI health, as far as long term savings, and as well supported by our best in class digital platform covering the entire customer engagement journey. And we also have done the best in class digital marketing capabilities in Thailand.  We believe Thailand is a growing market with substantial protection gap, is also a country with an aging population that requires more long term savings. Demand for our product propositions and our professional advice is a strongest ever. And we have a strong local team with proven track record of execution. So we're confident that AI Thailand is very well placed to capitalize on the future potential in Thailand.
Operator: This question is from Michelle Ma of Citi. Michelle, please press the unmute button on your screen and ask your question.
Michelle Ma : Thank you for the opportunity. This is Michelle from Citi Research. I have two questions. First is the use of free surplus. So very simple calculation here. So given the very stable $6 billion underlying free surplus generation every year. So this is enough to fund new business at around $1.3 billion and then support progressive dividend payout about $2.3 billion. And assuming no significant investment variance, so can we say the company has a capacity about $2.4 billion every year for capital management such as buyback or extra dividend payment to maintain a stable free surplus balance? This is the first question.  And second question back to China. So, really appreciate the new chart on the Page 38, about the product mix of China agency portfolio. So I think this is really informative and really helpful. So the question is, so we notice for the private pension and retirement products, so the margin is high is over 65% bigger than the margin. So just wonder, the mix within this saving products, we're still seeing continued gain in the product mix of this particular long term savings product since the beginning of the year. And what's the approximate margin for the remaining other long term savings? So yeah, just want to have a sense on this. Thank you.
Lee Yuan Siong: Yes, thank you for your question. Let me take the question on China. And as you see, we are very happy that last year, we saw a good proportion of our product mix in the private pension product, just to let you know, right now the private pension product only allows through a number, a few major cities, and the Mainland Chinese customer already announced that they will expand this product and make it available to more major cities.  So this is a very good news, especially for AI in China, because our agent, high quality agent and their target customers segment, those that need to pay meaningful income tax. So if you ask talking about you're looking forward there, I will say this private pension product will continue to be a major product on long term saving from the agency channel of AIA China.  And in terms of the margin question, in fact, margin are very healthy across all the long term saving products, and our agency channel continue to maintain a overall margin of close to 60%, which is a very healthy and strong margin. Garth, on free surplus.
Garth Jones : Yes, thanks, Michelle. And clearly, as you say, we've generated good underlying free surplus generation, you've seen that in the last two years, we've continued to grow free surplus. You've also seen that we've deployed $14.8 billion of capital and that's reduced the free surplus overall. I think, you know, as I said earlier, we consider ourselves disciplined stewards of shareholder capital.  And obviously, one of the things is a strong balance sheet, you didn't mention an increase in the stress capital that we might need as this balance sheet grows, which would have to be obviously taken into account. But clearly, we're in year three of a three-year buyback program. We'll continue and we'll do our business planning, we look for a long term business. We'll continue to look at not only growing up as we've done again last year, but also optimizing E as we've also done last year, as we go forward.
Operator: Next question comes from Michael Lee of Bank of America Securities. Michael, please press the unmute button on your screen and as your question.
Michael Lee : Hi, thank you. This is Michael Lee from Bank of America Securities. So I have two questions. The first question is about Page 40. So, you mentioned that in January ‘24 this year, you saw an increase of VONB margin in bancassurance channel quite significantly to above 30%. So, any reason behind this kind of increase because usually bancassurance channel margin is quite low. So 30% is quite decent margin for bancassurance. Is that because of product mix changes, or some fee cards fee changes renegotiation with banks?  And also on this page. In the middle of this page, you mentioned that for BEA products and products via BEA and Bank of China and Shanghai Pudong Development Bank the size policy size is at 20k to 23k. And the product size in China postal savings is at about 5k U.S. dollars. So why this difference in terms of size of these policies? Is it because of the different product strategy or just the difference in client profile? So that is the first question.  The second question is about ASEAN countries, ASEAN markets. So definitely this is the focus of investors when China is weak, I mean, macro is weak. And for ASEAN countries, and you mentioned that the total contribution is 35%. And we know Thailand, Singapore, Malaysia already like top 30%, which means that the rest of the ASEAN markets should have greater potential to grow.  Do you have any detailed strategies in this market like in Indonesia, Philippines, and also Vietnam? Because Thailand is a very, very successful example here. Several years ago, you mentioned that you’re building and recruit those agents and you did a very good job in terms of volume growth and margin improvement. So I think it's important for us to understand what kind of strategies you have in those markets, which are still small but with great potentials. Thank you.
Lee Yuan Siong: Okay, thank you. On the China bancassurance, I think we have a very differentiated bancassurance model. In Mainland China, we partner with a small group of highly selective bank partners targeting the affluent and high net worth customers and it is currently -- it is still a small proportion of China's VONB is incremental to our core agency channel. In terms on the details as I hand over to Jacky.
Jacky Chan: Thank you, Yuan Siong, First of all about our bancassurance. I want to say that in fact a bancassurance are still very profitable for AIA. We see that with the more kind of operationalization of the bancassurance product and compensation to the banks. Actually, this is a very old channel for AIA to grow into, because in the past, the bancassurance has really contributed a very tiny proportion of the business. And you can see that the margin really progressively improves from first half to the second half and then to January. So, the key reason behind is that first of all, the pricing interest rate change, I believe you're also aware of that. So, for the non-product, it has to come down from 3.5% to 3%. So that really also improve the margin in the second half of last year.  And furthermore, there is a so called rationalization of fee to the bank or the compensation. So, I will call it rationalization, so that basically means that it makes it maybe more reasonable. So it becomes a win-win-win situation for the bank for the insurance company and for the customer too, more high quality product can be made available to so full pension of the customer. So due to the compensation rationalization, the margin in January, since January this year actually further improve to beyond 30%. So basically, you can see that the bancassurance channel in Mainland China is already a profitable channel.  And for AIA, we’re focusing on the F1 and above customer segment, you will see that for our exclusive partnership with BEA and strategic partnership with BOC and as PDB our average case size already exceeding $20,000 U.S. dollar, which Yuan Siong mentioned that it is if and beyond the average case size of MCV in Hong Kong. And I wonder also you know that, for the cooperation with the postal savings Bank of China, we also target their affluent segment. But of course, different bank has different level of efforts.  We're focusing on work with the wealth management center, tackling those are more affluent segments within the postal savings Bank of China. And the average case size of $5,000 U.S. is not that small. The average domestic Hong Kong average case is above $5,000 U.S. So it's just a comparison that Oh, total segment span seems lower but this among is already not a small amount in the Mainland China situation. So, we AIA China really focusing on working with the selected affluent segment in each of these strategic end partnership.
Lee Yuan Siong: Okay, on ASEAN itself, I think we have a long history in ASEAN significant scale supported by our strong operating models with a proven track record. You know, we've discussed more about Thailand, Singapore and Malaysia. But outside of these three markets, I think the region continue to offer enormous growth potential with very low insurance penetration and growing affluent population, overall no more than $500 million addressable market for AIA. Now, maybe I would like to invite Leo, to talk about two of the very important, perhaps potential markets, which is Indonesia and Philippines.
Leo Grepin: Good morning, Michael. Its Leo here. As you've described, we also see great potential in the remaining markets of ASEAN with very large population and rising GDP per capita, which presents significant opportunity for our business. And in terms of our approach in these markets, what we've been pursuing is a strategy very consistent with what we've done across the rest of Asia, which is focusing our growth on building our premier agency focused on quality advisors, professional trusted digitally enabled advisors, who are serving the affluent enough customers of these geographies. And that's resulted in in a market like Indonesia, for example, and our agents being four times more productive than the industry average. So very similar strategy to our other core markets focus on agency.  We've also been focusing on growing a differentiated bancassurance strategy. And as you know, in those two markets, we're very blessed with partnership with the leading banks in those markets. In the Philippines, we've got a tremendous partnership with BPI Bank, which is a joint venture. And that's been going great last year that deliver double digit VONB growth. Similarly, we've had a great partnership with BCI in Indonesia, which is really the leading premier bank in that market.  And despite the growth of that partnership, we still have a penetration that remains less than 1% of the customer base. So significant growth upside potential. And in across these markets, our focus has been on protection, which means we've got differentiated margins and which are focused on quality last year, we saw increase in VONB margin in the context of the rebound, that of the pandemic. We're supporting these propositions with vitality, which differentiates us from the rest of the industry.  And along with that protection focus, you will have seen last year, we made additional investments in the Philippines with the acquisition of MediCard, which is the one of the leading health maintenance organizations in the market. And that again, positions us well for continued growth with broader propositions across life health and long term savings. So we're very excited about the potential of these markets.
Lee Yuan Siong: I just talk briefly about, Vietnam, we still see excellent opportunities for business in Vietnam. The significant long term economic and demographic growth drivers continue to underpin the business, the life insurance business and life insurance industry going forward. We are focus on strengthening the fundamentals, agency reform with quality recruitment and productivity enhancement, as our key priorities. As the market conditions improve and we continue to invest, we are confident in our ability to grow in this market. And in fact, we're seeing gradual a month or month improvement in a new business volume.
Lance Burbidge: Thanks, Yuan Siong. Thanks for the question, Michael. We have time for just one last question.
Operator: The last question comes from Leon Xi of Taiwan Securities. Leon, please press the unmute button on your screen and ask your question.
Leon Xi: Hi, thanks for taking my questions. This is Leon. Most of the issues has already been touched by other analysts. So I just have two quick follow ups. One is on Thailand. I appreciate the remarkable progress on FA and I do notice that 39% of ANP will contributed from FA in Thailand. So just wondering if there's a significant difference in the margin from FA channel. So first question is our FA channels margin in Thailand?  Secondly, is still on the capital management framework. I appreciate Slide 31, which is a very important recap of our latest capital management framework. Do we have a comfortable level of free surplus balance we want to maintain in addition to this flow of free surplus? Thank you very much. 
Lee Yuan Siong: HakLeh?
HakLeh Tan : Thank you, Leon. Just your question on margin for FA. So firstly, I just want to highlight that the FA program is a relatively new program, we've been in Thailand for more than 35 years. And an FA program was started less than 10 years ago, we offer the same product range, as far as digital tools to support the entire agency force, both FAs and non-FA. And imagine our focus always been to grow the VONB and as opposed to volume on margin, was encouraging, because our focus on quality recruitment, and together with our digital capability to elevate the productivity overall, we are seeing the individuals as an FA program operating at 2.7 times the productivity of the entire agency force. So I will say, the overall margins are not this similar between FA and non-FA, but we're very pleased with the significant improve in productivity and growth from the FA program.
Garth Jones : Yes, and on the free surplus level Leon, clearly we have a strong balance sheet. We are happy to have a strong balance sheet that provides financial flexibility and the ability to invest in growing the business. And again, just I think Slide 31 is a good reminder to us all, that AIA is a very unusual business and we're able to deliver strong growth and provide cash returns to shareholders. We think that really sets us apart. And we look to continue to do that going forward.
Lance Burbidge: Thanks, Garth. Thanks, Leon for the question. And thank you, everybody on the call for your questions. Obviously, if you have any further follow ups, then come through to us at Investor Relations. Thank you very much and good morning.
Lee Yuan Siong: Thanks very much. Thank you.